Cyril Meilland: Hello. Good morning, all. I'm Cyril Meilland, the Head of Investor Relations at Amundi, and it's a real pleasure to welcome you today in the not so sunny London for a presentation of our full year and fourth quarter results. We are here in our London office, and this is a hybrid event. So we will have people in the room and people online via Zoom. We shall have a presentation by our CEO, who is here with me, Valerie Baudson; and our Deputy CEO, Nicolas Calcoen. Presentation will last for about 30 minutes. And as usual, it will be followed by a Q&A session for as long as it takes. So ask any questions. The questions can be asked obviously in the room as well as online. [Operator Instructions] And unfortunately, before we get started, a very short disclaimer. Throughout the presentation, we will make some forward-looking statements and mention forecasts. We call your attention to the fact that Amundi's actual results may differ from these statements. Some of the factors that may cause the results to differ materially are listed in our universal registration documents. And Amundi assumes no duty and does not undertake to update any forward-looking statements. And after this task, I leave the floor to Valerie. Thank you.
Valérie Baudson: Well, thank you, Cyril, and good morning, everyone, in the room behind the screen. We are very pleased to present our Q4 and full year 2025 results, which reflect both our record activity and the core elements of our Invest for the Future 2028 plan. So I will take you through some key highlights before Nicolas, as usual, looks at our activity and financial results in more detail. First, our assets under management have now reached almost EUR 2.4 trillion, so up 6%. This is thanks to record total 2025 net inflows of EUR 88 billion from both passive and active management activities. In terms of clients, this performance was driven by positive inflows across retail, institutional and our JVs. Retail inflows predominantly came from our very fast-growing third-party distribution business. And on the institutional side, medium- to long-term asset collection tripled in 2025 with some major mandate wins in Europe and the Gulf in Q4. Our activity drove strong financial results with adjusted pretax income up 12% for the quarter and 6% for the year, while adjusted EPS reached EUR 6.58. This performance and our strong financial position allow us to propose a 2025 dividend of EUR 4.25. This represents a payout that is EUR 100 million above our 65% target. And we are also delivering on our commitment to return excess capital to shareholders from the 2025 strategic cycle. So today, we are announcing a EUR 500 million share buyback, which starts tomorrow. So combined, the dividend and share buyback will return close to EUR 1.4 billion to investors, around 10% of our current market cap. And more than half of these figures will go to minority shareholders. So all in all, we enjoyed success across all our strategic growth areas in our Invest for the Future plan, making 2025 a strong start to our 2028 plan period. So let's take a closer look at some of the key activities. Clients first, starting with retirement, which is, as you remember, one of the key strategic priorities in our new plan. We have established a dedicated business line to package our offer and capture new opportunities. And following from the people's pensions in the U.K., we secured another major mandate at the end of the year. Amundi is one of just 3 asset managers selected for Ireland's new auto enrollment pension scheme, which will serve the majority of the Irish workforce. Assets for this scheme are expected to reach EUR 20 billion in the next 10 years. Our other major strategic client priority, you remember, is digital distribution. We saw EUR 10 billion in net new assets from digital players in 2025, almost half of our full year retail flows. New mandates included the retirement offer launched with Moneybox, an award-winning digital wealth management platform in the U.K. This partnership brings together Moneybox client-led product design with Amundi's global multi-asset and ETF expertise, creating 3 new Moneybox blended funds. Now geographies next, starting with Asia. We continue to deliver strong growth powered by our direct presence and our successful JVs. Asian net inflows were EUR 33 billion for the year. Over 40% came from our direct distribution business with contributions well diversified by country and client type. And on the JV side, India and Korea were the main contributors and China showed a good momentum as well. Now closer to home, Europe continues to offer significant growth potential for Amundi and increasing our market share in Northern Europe is, as you remember, another strategic priority. Our 2025 activity reflects this with EUR 40 billion in net inflows from this region, including EUR 29 billion from the U.K. Germany contributed EUR 8 billion in net inflows with EUR 5 billion from digital platforms. And as part of our new strategy, we will also reinforce our presence and build on strong client activity in new high potential regions. The Middle East is one of these. And in addition to strong business momentum, we also signed a new strategic partnership with First Abu Dhabi Bank to target Gulf investors at the end of 2025. This partnership combines Amundi's wide coverage of investment solutions and asset classes with First Abu Dhabi Bank regional insights and presence. Solutions next, where innovation is key to future growth. So let's start with active management, where we saw good investment performance as we continue to widen and strengthen our offer. We launched 3 new UCITS funds in key strategies: global equity, U.S. large caps and U.S. mid-caps. These funds fulfilled via our Victory Capital partnership are the first from investment platforms outside of the former Amundi U.S. brand pioneer, demonstrating the clear potential to extend our range as promised. We have also launched in 2025, the first tokenized share for one of our money market funds. The fund is now easily accessible via standard distribution networks and/or the tokenized shares. This first class of tokenized shares is just the beginning, and we will gradually test and add new features to our offering based on specific business cases. Smart Solutions, our another commercially successful innovation, well suited to the current environment. These solutions enable institutional investors to optimize their excess cash by capturing their premiums offered by top-tier issuers for their funding while maintaining low volatility and high liquidity. Assets under management for these funds reached more than EUR 41 billion in '25, representing additional inflows of EUR 20 billion. And this includes EUR 3 billion -- additional EUR 3 billion from a European public institution in Q4. Now ETFs next, where we are further strengthening our position as the second largest provider in Europe and the #1 European provider, both in terms of assets under management and inflows. ETFs assets under management reached EUR 342 billion, up 27% year-on-year. In Q4, we achieved record quarterly inflows of EUR 18 billion and EUR 46 billion for the year. We are, by far, the #1 collector of European equity ETF inflows. This leadership is driven by our diversified offer, which includes products like [ Euro ] Stoxx Europe 600, the largest selling European equity ETF on the market. But innovation is also key to capturing ETF growth. So new products, including macro thematics like defense and strategic autonomy collected EUR 5 billion in '25. Innovation is also key to adapt and grow our responsible investment offer. In July, we launched a new global green bond fund tailored for Zurich's Life Insurance clients seeking diversified access to Green bonds. And in December, we launched a Euro biodiversity credit fund available to both institutional and retail clients in more than 10 countries. This fund allows investors to participate in the preservation of natural capital through a euro credit allocation. So in summary, a period of strong innovation across our investment solutions that is supporting, of course, our growth trajectory. Finally, I would like to highlight Amundi Technology. We are now a recognized technology provider covering the entire savings value chain and operating at scale in 15 markets. Revenues reached EUR 116 million in 2025, up 45% year-on-year, thanks to 10 new client wins, which also saw us enter 2 new markets, Denmark and Singapore. We talked about some of the great 2025 client wins at the Capital Market Day, including AJ Bell in the U.K. Since then, leading Dutch assets and wealth manager, Van Lanschot Kempen has selected our ALTO investment platform. We also signed Bankdata, a technology services consortium made up of 7 Danish banks that serve 1/3 of the country's population. Bankdata selected Amundi's ALTO wealth and Distribution solution to introduce comprehensive portfolio analytics and reporting into its ecosystem and obviously, for the clients of these banks. We also recently launched our new Data-as-a-Service offer, leveraging our robust architecture, our data provider connectivity and our market expertise. We are now onboarding our first client, a leading global insurer in Asia. So our tech business is continuing to deliver growth while also serving as a key strategic enabler for the wider Amundi Group. It strengthens our investment solutions, creates durable long-term relationships and is a key differentiator for Amundi among European asset managers. So that's all for me for now. Let me hand over to Nicolas to take you through our Q4 and '25 activity and financial results in more detail. And I will be back, of course, for some closing remarks ahead of the Q&A.
Nicolas Calcoen: Thank you, Valerie, and good morning, everyone. I will now comment on our activity and the financial results. Starting with our assets under management, which reached EUR 2.38 trillion at the end of December. This is again a new record for Amundi. Assets were up by 6% over the year. Almost 2/3 of the growth is coming from net inflows at EUR 88 billion of 4% of AUM, and the rest come from a positive market and ForEx effect of EUR 62 billion despite the depreciation of the U.S. dollar and the Indian rupee. On the fourth quarter, our assets rose by 2.7% with similar trends. Moving now to our net inflows. As I said, they amounted to EUR 88 billion. They are sharply up versus 2024, which already showed a strong increase compared to the previous year. In other words, we have enjoyed strong business momentum in the past 3 years. Furthermore, this business momentum was driven mostly by medium- to long-term assets from our 2 client segments, retail and institutional. Long-term net inflows indeed more than doubled at EUR 81 billion for all these clients. Long-term flows were positive in both active and passive management. Passive management was very successful at EUR 76 billion, including the EUR 46 billion in ETFs, as Valerie highlighted. And active management gathered EUR 13 billion, almost double the net flows of the previous year. Fixed income was again the main driver, but growth also came from the return to positive net flows of active multi-asset management. Conversely, treasury products posted net outflows largely related to the ECB rate cuts and a slightly more risk on approach by our institutional clients. Turning to our joint ventures. They collected EUR 20 billion. I will come back later on with more detail. And finally, the U.S. distribution of Victory Capital for the share we own in this partner posted net outflows of EUR 1.4 billion. However, the strategies managed by Victory Capital that Amundi distributes to its clients in Europe and Asia gathered EUR 800 million despite a lower appetite for U.S. strategies last year. I will not comment in detail on the fourth quarter because it is, in fact, very much in line with the full year trends with some acceleration in areas like long-term assets in general, in particular, ETF, but also active management. Coming to performance. Our investment management teams delivered sustained performance in 2025 as illustrated on the slide. Close to 3/4 of our open-ended funds were in the first and second quarter over 1 year, 3 years and 5 years and 233 Amundi funds are rated 4 or 5 star by Morningstar. The investment performance is particularly good for fixed income and multi-asset flagships. For example, in multi-assets, global -- multi-asset on its more conservative versions, global multi-asset conservative ranked in the top 5 and 10 percentile of the category. On the fixed income side, global aggregate, our main flagship outperformed its benchmark by more than 300 basis points on our Euro subordinated strategy by more than 600 basis points. And beyond this particular highlights, I think the main message from this slide remains sustained consistency at a high level of investment performance. Looking next at our client segments, starting with retail. Retail flow was positive at EUR 22 billion over the full year. These flows remain driven by third-party distributors, which continued to post very healthy inflows of EUR 33 billion with EUR 27 billion in ETF and positive flows in active management. Flows are also very diversified by region. In Europe, first with EUR 23 billion with a high level of activity, in particular in Northern Europe, in U.K., in Germany, in Netherlands, but also in Spain and Italy. Asia continued its healthy momentum with EUR 6 billion of net flows. And in addition, we gathered material flows from high potential regions like the Middle East, Canada and Mexico in line with the strategy -- our strategy to conquer these new markets. Beyond third-party distribution, our Chinese joint venture with Bank of China also enjoys strong momentum with EUR 2 billion gathered year-to-date. And turning now to our international partner networks. The net outflows totaled EUR 14 billion, as you can see. They are fully attributable to UniCredit, where outflows totaled EUR 16 billion in the full year, of which EUR 4 billion in the last quarter. Finally, the French partner networks in France are showing positive net inflows of EUR 1 billion. The fourth quarter net inflows in this segment are entirely due to treasury products, in particular due to corporate clients of these networks, where the long-term assets are positive. Moving to the institutional segments now. In '25, net inflows were EUR 48 billion with a strong performance in long-term assets at EUR 61 billion, triple the level of '24. Passive management accounting for large share EUR 44 billion, of which almost half coming from the mandate won with people's pension. But we also gathered close to EUR 20 billion from active management for the most part in the Smart Solutions Valerie highlighted. If you look at by subsegments, institutional and sovereign posted record levels, thanks to a series of mandate wins in Europe and the Middle East, with in particular sovereign funds, central banks or stable relative entities. Employee and savings and retirement business that we presented more in depth last quarter posted a high level of long-term inflows once again. And finally, Credit Agricole and Societe Gennerale, the long-term inflows of EUR 17 billion benefited from the renewed interest in euro contracts in France. The short one maybe on the outflows from treasury products. They originated, as I indicated, from the rate cuts implemented by the central banks and the resulting share for our clients for better yields. An illustration once again of the success -- of this is the success of the Smart Solutions we mentioned. Again, I will not comment in detail on the fourth quarter. As you can see, the trends are very similar to the one we saw for the full year with EUR 13 billion in total. Finally, our Asian joint ventures posted net inflows of EUR 20 billion over the full year with good performance in all countries. South Korea posted EUR 6 billion, mostly in long-term assets, and we saw some outflows in the last quarter, which are purely seasonal and linked to treasury products. China with ABC continued its recovery with EUR 2 billion inflows over the year. And our Indian joint ventures posted more than EUR 10 billion of inflows. The decrease compared to '24 is partially explained by the decline in the Indian rupee versus euro. And for the rest, it was driven by lower inflows from institutional clients in a less favorable markets. However, net inflows into savings plans in retail continue to grow in a very healthy manner. Moving now to our net results. You are now very familiar with the pro forma restatement that we made to 2024 quarters to make the series comparable after the clubbing -- the closing, sorry, of our partnership with Victory. So I will not detail them again, but you have, of course, all the details in the appendix of the slide deck and in the press release. All my comments will refer to adjusted data and year-on-year variations refer to '22 pro forma figures -- '24, sorry, pro forma figures. So let's start with the review of our fourth quarter and in particular, on revenues. As you can see, total revenues were just shy of EUR 900 million in this quarter. They were up by more than 8%, thanks to a healthy growth in all business-related fees in asset management and technology. First, net management revenues were up by 7% compared to the last quarter of '24, of which 4% for management fees, thanks to our strong asset gathering in the past 12 months. And performance fees were very elevated, thanks to the performance delivered by our teams across a large range of expertise. Technology revenues were up by 37% at EUR 35 million. This reflects both healthy growth in license revenues and a high level of billed revenues, thanks to the launch of new client projects. Finally, a short word about our financial income. It's stable compared to the end of '24, but this reflects contrasting elements. On one hand, the decrease in euro short-term rates resulted in a material drop of the return we get from our voluntary placement of our cash. However, on the other hand, this was offset by better mark-to-market valuation and carried interest from our private asset investments. Turning now to our cost at EUR 450 million. They were up on the quarter by 6%, more than 2 points below the top line growth in the context of very healthy business development. This good cost control over our cost was achieved, thanks to our continued efficiency efforts, including the first savings from the cost optimization plan we announced in the second quarter of last year. This allowed us to continue our investment in our strategic priorities to nurture our future growth. And approximately 1/3 of the year-on-year cost growth originate from investment, in particular from technology. As a consequence of this large jaws effect, the adjusted cost-income ratio was 50%, 51.5% to be precise on this quarter. Finally, our adjusted pretax income topped EUR 500 million for the first time in a quarter at EUR 519 million to be precise. It was up by 12%, thanks to, again, the healthy growth in operating profit, up by 11% and the acceleration from our associates up by 21%. It's further contribution from our Asian joint ventures, which was up by 20%, driven mainly by our Indian joint venture. And despite the decline in the rupee and the contribution from Victory Capital, which was up by 19%, reaching EUR 35 million, thanks to the synergies and again, despite the currency headwind. The adjusted net income was EUR 376 million, almost the same level as in the fourth quarter '24 despite the exceptional items in the tax charge. First, of course, the tax surcharge in France, which represented around EUR 11 million in this quarter. And second, the resulting tax on an exceptional dividend we received from our Indian JVs, which represented a cost of EUR 12 million, sorry. This exceptional dividend was paid out in preparation of the IPO of SBI FM, which is, as you know, scheduled for the first half of this year. And we received indeed EUR 130 million as exceptional dividend. But as the joint venture is consolidated according to the equity method, this dividend does not contribute to our results, but only to our cash position. Finally, let's get a look to our financial performance for the full year. The trends, as you can see, are very similar to those of the first quarter. The pretax income rose by 6% to an all-time high of almost EUR 1.9 billion, EUR 1,858 million to be precise. And this growth was driven by an equivalent growth in revenues, 6%, driven by business-related fees, of which 4% for management fees, which represent 2/3 of this growth, 20% growth for performance fees to EUR 173 million, and 40% of growth for technology revenues reaching EUR 116 million, including a full year of aixigo. But organic growth and technology again remained very solid, excluding aixigo, 30% of growth in revenues. Our revenue margin, asset management revenue margin, of course, was 15.9 basis points pro forma again of the deconsolidation of Amundi U.S, like in the first half of '25, but down by 50 basis points from full year '24. We already commented on this decrease in the previous month -- previous quarters. It is entirely due to the strong growth we have enjoyed in the Institutional claimant segment, in passive management and as well as in active fixed income. So both the clients and the project mix have therefore weighted on our margins, but the growth has been profitable on a bottom line basis, of course. Finally, on the revenue side, contrary to business-related revenues, net financial income was down by 5% due to the rate cuts by the ECB and partially offset by the positive mark-to-market as for the last quarter. On the cost side, costs were controlled, again, 6% growth, in line with revenues, reflecting again the investment we made in our growth drivers. And more than half of the cost growth is related to an increase in investment in particular, again in technology. As a result of this good cost control, our operational efficiency remained best-in-class with an adjusted cost income ratio of -- sorry, 52.1% for the full year. This good operating performance for our fully controlled business was complemented once again by strong contribution from our associates. Our Asian joint ventures contributed EUR 135 million or 10% of our net result and up also by 10% despite again the currency headwind in India. And the contribution from Victory Capital was EUR 95 million for the first -- for the last 9 months only, up by 12% over the profit contribution of Amundi U.S. over the same period in '24. As a consequence, excluding the tax surcharge in France that totaled EUR 74 million, our adjusted net income would have been over EUR 1.4 billion. And including the tax surcharge, it was EUR 1,354 million, and the earnings per share was EUR 6.58. This good level of profitability only strengthened again our financial position, as you can see on this new slide. We are probably the traditional asset manager with the largest tangible equity base globally. Indeed, it reached EUR 4.9 billion at the end of '25, up by 10% over a year. As Valerie announced, the strong balance sheet allow us to propose to the general assembly next June, a dividend per share of EUR 4.25. This represents a payout of 74%, EUR 1 billion over what it would have been if we had applied the minimum 65% target. This decision is part of our disciplined capital management. If we can move to the next slide. Our final surplus capital at the end of December '25, the end of our previous plan and before distribution on ICG was EUR 1.4 billion. We will appropriate this amount for 3 purposes in line with our commitments. First, M&A. The acquisition of our stake in ICG is likely to use EUR 700 million to EUR 800 million for the final 9.9% share we target. Second, the ordinary dividend, the EUR 100 million above the minimum payout I just mentioned. And third, additional capital return. The Board has indeed decided on a final amount for share buyback of EUR 500 million, well above the minimum EUR 300 million we had committed at our Capital Market Day in November. This will represent an earning accretion of around 3% at the current share price. And this share buyback will start tomorrow and is likely to span over a full year given the share liquidity and the regulatory constraints applicable to such an operation. It's worth noting that if we combine the total ordinary dividend for '25 around EUR 900 million and the share buyback, we will return to our shareholders this year just shy of EUR 1.4 billion, almost 10% of our current market capitalization. One last word regarding our partnership with ICG and the equity stake we are in the process of building. As you know, we have acquired via a structured transaction 4.64% in ICG on November 19, the day after our Capital Market Day. So we own the shares with full voting rights. However, the structured transaction is still in the process of being unwound. The next milestone is for us to get the mandatory approval from various authorities. We should obtain them in the course of the second or third quarter. And by that time, we will be allowed to appoint a director to the Board of ICG and to start equity accounting for our stake, the 4.64% I mentioned. This will also allow ICG to start issuing new nonvoting shares to us for a total economic interest of 5.3%, taking our final stake to the target 9.9%. They will do so while at the same time, buy back an equivalent amount of ordinary shares on the market and canceling them to avoid dilution. This process is expected to last several months, depending, of course, on ICG share liquidity. And it should be completed early '27, at which point, we shall equity account for the full amount. I hope this clarifies the process. Of course, ICG will be integrated on our reporting as an associate in a similar way to Victory, and Cyril and the team at your disposal for the detail. I will now hand back to Valerie for concluding remarks before we take your questions. Thank you very much for your attention.
Valérie Baudson: So thank you, Nicolas. 2025 has been a solid start to our new strategic plan period. We saw higher activity across our strategic growth areas, which supported our strong results. In terms of strategic initiatives, as Nicolas outlined, we are now building our stake in ICG. Our wider partnership has kicked off, and we have already seen some very promising and fruitful cooperation. We are both excited by the significant long-term value it will generate, both in terms of enriching our investment solutions and delivering return on investment for Amundi. We are already working on the funds we are planning to launch with ICG and expect to offer them to our wealth investors soon in H2. And finally, with our proposed EUR 900 million dividend and our EUR 500 million share buyback, we are delivering shareholder returns of more than EUR 1.4 billion, fully demonstrating our disciplined capital management approach. And with that, Cyril, I think it's back to you for the Q&A.
Cyril Meilland: Thank you, Valerie and Nicolas. Many questions. We'll start from the room. [Operator Instructions] Let's start with the front row, Arnaud.
Arnaud Giblat: Three questions, please...
Unknown Executive: To make sure that we can hear [indiscernible]. Is it okay?
Arnaud Giblat: Three questions. Firstly, can I ask about ALTO? So a big step-up in Q4. You did say that there was a lot of build for new clients going on. I'm just wondering, how we should be thinking about the coming quarters. Does that build continue -- the revenues from build continue into the future quarters? Or does it step back down to recurring revenues in Q1? My second question is on SocGen. So the contract you announced was renegotiated, I think, in the press release, no material impact because I think Societe Generale as a percentage of the total group has been diluted. I'm just wondering if you could give us a bit more specifics. Has the conditions in terms of share of flows changed with that renegotiation? Has the headline rates changed as part of that negotiation? And my third question is on the Irish DC pension. I think during the presentation; you mentioned EUR 20 billion flow potential over 10 years. Just wondering, how that splits across the 3 partners and what sort of products, the fee rates? I mean, any more details you can disclose that could be helpful.
Valérie Baudson: I will let you on SocGen and I answer on ALTO and the Irish into enrollment. On ALTO, Arnaud, as mentioned, new clients -- I mean, in tech, you have the build part when you win the client and that you have to build the project and then you have the recurring fees. So obviously, everything built means more recurring fees for the future. But of course, according to the number of clients you won in the quarter, you can have some plus or minus. So this last quarter was a very good one because new clients. By definition, the sale process in the technology area is a long one. So we are working today on clients that we hope will be onboarded in 2026, but I am unable to tell you today what will be the exact figures for 2026. What I'm absolutely comfortable and happy about is the fact that we are onboarding more and more clients, which means that we are building more and more recurring revenues, which do not depend on the markets or on the geopolitics or whatever for the future and which are reinforcing our position. And we -- another point which is really important with ALTO is that we deliver growth and new clients, both on ALTO investment or investment platform and on ALTO Wealth. So the 2 lines of -- main lines of products and clients are really up and running. And last but not least, we managed to open new countries because when you get your first client in one country, it means that people around look at it and it's also a source of growth for the future. Regarding the Irish to enrollment by which -- you know that this is a brand-new scheme in Ireland. And by definition, there is no history on which we can count. But we shared is that, that might represent EUR 20 billion, of course, shared between the 3 players. So for the time, it's really just starting. We are thrilled -- I mean, we wanted to focus on that one. It will not change the P&L of Amundi in 2026. It's a very long-term mandate, but we were thrilled about it because it's recognition of the capacities and the expertise of Amundi in the retirement area. And as we are absolutely certain that the move from DB to DC both in Europe and in Asia will go ongoing. The more we are recognized as a strong player in this area, the better it will deliver growth for the future.
Nicolas Calcoen: And regarding the Societe Generale deal, so as you know, we don't disclose the specifics on our agreement. What I can tell you is that it confirms our position as a privileged provider of asset management with our funds or mandates for the -- our clients and for that networks, and it should not have any material impact on our P&L going forward.
Cyril Meilland: Okay. Next question from Nick.
Nicholas Herman: Nicholas Herman from Citi. Three questions as well, please. Firstly, is there any update you can give us on the SBI JV IPO, please? I guess, presumably, can you confirm if you're still on track for an IPO in the first half of this year? Any update on the process would be helpful. Secondly, on passive inflows. Did I hear you correctly that you brought in EUR 5 billion from new passive product launches during the year, it's about 10% of your passive inflows. I guess could you just talk about the competitive environment within passive because it looks like you've been taking a lot better share recently. But I guess also as part of that, and I know you don't disclose your passive fee margins. But I guess with such strong demand for funds like Core Stoxx 600, is it fair to assume that the margins on your passive inflows have been dilutive to your blended passive fee margins? And then finally, just a technical one on the buyback. Just curious why you decided to upsize the buyback already 2.5 months after announcing the buyback of at least EUR 300 million. And I guess also part of that...
Valérie Baudson: Why we increased...
Nicholas Herman: [indiscernible] it before, I think when you announced it, at least EUR 300 million and now 2.5 months later you're saying EUR 500 million. So why stay? And what is it that drives the variance of the cost of the ICG stake between EUR 700 million and EUR 800 million because I understand that you've structured the transaction to kind of limit the variability. Is that an incorrect understanding? If you could clarify that please.
Valérie Baudson: Okay. We're going to clarify. On the -- so on the SBI IPO, very simple. The process is on track. And as of today, but we're still only in January, we expect the IPO to happen by the end of the semester by the end of June. But 6 months to go, an IPO is not an easy process. So -- but for the time being, everything is on track. Second topic on the passive side, I don't know if we have -- if you want to share any figures. I mean, honestly, regarding your question around the Core Stoxx 600, I think what is remarkable here is that Europe attracted by definition, a lot of flows this year for good reasons, of course, the performance of the index, but also the fact that the dollar decreased a lot, as you know. And for all these reasons, investors have diversified their position and all over Europe and Asia and especially diversified their position in investing into Europe. So it's great news that our Core Stoxx 600 attracted so many flows. And I think it's the sort of evidence and recognition that Amundi is the largest ETF provider in Europe with the largest and widest range. Honestly, on the margins for me, it's -- I'm going to let Nicolas look at it or answer if any, but I haven't seen anything significant.
Nicolas Calcoen: No, nothing significant. And what's important to see is that we have inflows on, I would say, very vanilla products, but we are also innovating and margins on more innovative products tend to be higher. So...
Valérie Baudson: Yes, because at the same time, so we stress the Eurostoxx 600, but we launched a lot of EFT, thematic fund, [indiscernible], strategy [indiscernible], which have attracted a lot of flows as well. As you know, we launched our first active ETFs with by definition, higher margin. We also launched, as you remember, at the end of the year, our ETF as a platform service, which is another way to increase the revenues of Amundi. I remind you, we offer our ETF platform, both to active asset managers who don't have one and who want to list their expertise on the market, and we act as a service provider, but we also sell this platform to distributors who want to distribute ETFs, can be passive or active under their own brand name. So all this is a sort of, I would say, virtuous circle on the ETF space. And on your last question, I'm going to try to do it to make it very simple. On the share buyback, when we announced you this share buyback and said minimum EUR 300 million, it's because in early November, by definition, we did not have the figures at the end of the year. What we committed was to give you back the excess capital at the end of the 2025 plan. And when we add -- when we look at the end of 2025 and when we add the price of ICG, the dividend we are proposing to the -- we propose to the Board and the excess capital, the difference is the EUR 500 million. So we are committing to our promise.
Nicolas Calcoen: On ICG, the reason why there's no precise number is as you have understood, there are 2 operations, one which is already done, and which is structured operation. But there's a second operation, which will be issuance of shares in the months or quarters to come by ICG to us, and they will buy back on the market. And we don't know at which price it will be done, and they are still probably something like a year before the end of the operation.
Valérie Baudson: So we will know...
Nicolas Calcoen: So we don't know exactly the price at which we will buy the full stake.
Cyril Meilland: Okay. Thank you. Next question from Tom.
Thomas Mills: It's Tom Mills from Jefferies. I don't think you guys mentioned in your presentation about Fund Channel. I was just interested in how that business is developing. I guess we've seen some consolidation in the B2B fund services space in the last month or so. Just curious as to how you see that development in terms of your own competitive positioning. Is that something you object to from an antitrust perspective? Just curious on your thoughts.
Valérie Baudson: First of all, we saw a very nice development on Fund Channel. I'm going to Nicolas or [indiscernible] to give the exact figures, but we won new clients, and the company is growing at the pace we were expecting budget-wise. And second, there was a very -- I'm not sure we discussed about that already. There has been a very important development this year within Fund Channel, we launched a specific money market platform, which is super attractive for all our corporate clients. So it will be an additional source of growth for us in the future. So we are still totally committed to Fund Channel and are very happy to remain and to be a strong competitor on that market. For us, it's both a source of growth and also a very important way to go on delivering a good service to all our clients and to help them manage their open architecture.
Thomas Mills: [indiscernible] just a combination of...
Cyril Meilland: Maybe we should use, mic, I think, for online...
Thomas Mills: Just the combination that we've seen elsewhere in the market, Deutsche Borse and all funds, is that something that you guys are fine with? Is there any some antitrust objection that you might have to that combination?
Valérie Baudson: We never comment on the transactions of our competitors. I cannot -- only comment about the fact that we are very happy to have Fund Channel, and we are totally committed to go on having it growing and confident.
Nicolas Calcoen: Assets under distribution are EUR 660 billion, which is above the target we had set to the previous plan at the end of December.
Cyril Meilland: Jacques-Henri and then we will answer it with online questions from Claire.
Jacques-Henri Gaulard: Jacques-Henri Gaulard from Kepler Cheuvreux. I did something fun this morning. I didn't restate the Q4 2025. And when you don't do that, when you don't restate, you realize that imagine you don't have revenues as a reference from the U.S. You have the UniCredit outflow. So it's not exactly a great condition. But despite that, your earnings pre associates remain flat, pretty much stable, which is quite incredible. The whole point being the resilience of the rest of the business versus that is quite big. Then you're also going to buy back 600 million of share, maybe more, you never know if we have an IPO. So when are you raising your EPS target for '28?
Valérie Baudson: First, we take the good part of your comment. Jacques-Henri, thank you so much. And I'm very happy that you see through your spreadsheet, the reality behind Amundi, which is the incredible resilience, which is linked to something real, the huge diversification of our client base, our expertise of our services, et cetera, which makes us strong and growing day after day. And as I told you during the medium-term plan, I'm very confident that for the 2028 plan, and I will -- and today even more. We have no plan to change the target. We were very clear by telling you that the earnings per share target was a floor on which we committed, and we stick to the strategy as of today.
Cyril Meilland: Thank you. We move, as I said, to online questions. So I open the mic of Pierre Chedeville. Pierre, you should be able to unmute your mic and speak.
Unknown Analyst: Jacques-Henri, asked the same question as me -- as I wanted to ask, but I wanted to ask, when are you going to lower your cost income ratio target?
Valérie Baudson: Same answer. Same answer [indiscernible] question...
Unknown Analyst: More or less the same question. So more or less the same answer. Other question regarding your digital development, I was wondering if you had any target related to Credit Agricole ambitions in this area. You know that Credit Agricole wants to develop strongly on the savings side with BforBank Bank and also in Germany, particularly with Credit [indiscernible]. And I wanted to know what is exactly the cooperation you are setting up with them, if you have any target there, it could be interesting. A precision regarding the tax. Can we imagine that in 2026, now that we have the budget voted, we will see more or less the same tax impact in 2026. roughly, I would say, a tax rate around 31%, something like that. Is it reasonable to see that or not? And maybe just to clarify regarding share buyback. As far as I understand, you said in your business plan that you were focusing on external growth, you privilege external growth. So I mean that if you are about to make over share buybacks operation, you will wait for the end of the plan? Or I'm not clear on that.
Valérie Baudson: Thank you. Nicolas, I'm going to take the Credit Agricole, and I would be letting on somebody to other one. On Credit Agricole, of course, I mean, by definition, Credit Agricole is an essential, okay, has always been an essential client of Amundi, and we are totally committed to all their growth prospects and thrilled that they are investing outside of Europe in the savings area. So we are working on that topic to answer very transparently this question. We are working on that topic with them, of course, as we would with any other clients, but of course, on that topic. But also not only on this one, we are -- it would be very long to explain, but we are delivering every year new solutions. For instance, we just launched last year incredibly successful new DPM solution within the Credit Agricole networks, which is growing very fast. So we have plenty of new solutions that we launch on a recurring basis, both with [ Credit ] Regional and with LCL. We have been working a lot with BforBank already. This is not new for us. It's been a long relationship, and we are in the process of helping [indiscernible] in development in Germany right now. So no specific figures to give you and to release, but you can be assured that we are helping them, of course. On the tax, Nicolas?
Nicolas Calcoen: On the tax, indeed, as you have noticed in France, the tax bill has been -- the budget bill has been adopted or in the process to be formally adopted. It does include the same tax surcharge mechanism as last year with the same rule, the same way. So basically, it will have the same impact for Amundi, meaning tax surcharge, which should be around, let's say, EUR 70 million to EUR 75 million. By the way, accounted the same way as last year. It's based both on '25 and '26 results. So it will be accounted -- let's say, 60% will be -- around 60% will be accounted on the first quarter and the rest will be accounted progressively in the 3 following quarters. And indeed, I would say, excluding our tax -- this tax surcharge, our tax -- average blended tax rate is, let's say, around globally for Amundi around 25% -- 25%, 26%. And this tax surcharge added close to 5% to this tax rate. And the last question -- yes, was regarding share buyback. So let me reclarify the share buyback we are announcing the EUR 500 million is the implementation of fact of the commitment we took in the previous plan and the commitment was to use the excess capital to do M&A or to return it by the end of the plan. So that we are fulfilling our commitment. Going forward, our approach has been, I think, developed during our last medium-term plan Capital Day. We continue to prioritize external growth for the use of excess capital. But at the same time, we don't want to accumulate capital on the balance sheet. So at the end of the day, we return the flexibility to return excess capital that wouldn't be used to the shareholders, but at the time in a way that will be determined during the course of the plan.
Cyril Meilland: Thank you. We will take our next question from Hubert in the room.
Hubert Lam: It's Hubert Lam from Bank of America. Just 3 questions. Firstly, for ICG, I think you mentioned the first product is going to be launched in the second half of this year. Could you remind us again, like is it a private credit product, private credit or/and public credit product? Also who you can distribute it to geographies and maybe even what your outlook in terms of flows for that? Second question is, I saw that the French networks had a good inflows into medium, long-term in Q4. So wondering if you see this as a turning point, just any dynamics around that? And lastly, just a follow-up on the ALTO question earlier. Q4, we saw a step up. I think in the presentation, you mentioned 40% of it was due to project revenues. I'm wondering, how much of that was maybe a one-off? Or is this something that could be sustained in the near term, at least?
Valérie Baudson: On the cost side or on the revenue side?
Hubert Lam: The revenue, sorry.
Valérie Baudson: Can you repeat the last one, sorry?
Hubert Lam: Yes, questions on ALTO.
Valérie Baudson: On ALTO, sorry. Okay.
Hubert Lam: I think it was EUR 35 million in the quarter. I think you mentioned 40% of it was due to project revenues or something like...
Nicolas Calcoen: 40%.
Hubert Lam: 40% margin [indiscernible]. Is that a one-off, or is that seasonal one-off? I'm just wondering how would you think about this number?
Valérie Baudson: It's probably higher than what would be the average.
Nicolas Calcoen: Exactly.
Valérie Baudson: If I had to give an answer, but it will depend on all the new clients we will get next year. But it's probably -- I mean, let's say it's a bit higher. On ICG, so yes, we will launch our first 2 new common solutions. So we are in the process of building the SCA and package the solution in the new regulated format we have in Europe, as you know. We expect all this to be ready during H2, probably after summer. We're working hard to make it very efficient and quick and in an excellent collaboration and good project mode. The 2 first solutions will be one on private credit and the other one on secondaries. And we're already preparing what will be the future. But at least these 2 are in the pipeline, and we will -- it will be under regulated European format. So obviously, distributed in Europe and in some Asian countries, which allow it. On the second question was on [indiscernible] Nicolas?
Nicolas Calcoen: French network.
Valérie Baudson: I mean, french network, sorry. French networks part of the flows we saw is linked to the dynamic of the life insurance in France, which is, as you know, dynamic and which also explains, by the way, the very good figures we have on the insurance side for the euro contracts on the institutional side in our figures. And part of it is a share of the new solutions I was mentioning. Typically, the very nice growth rate on our new DPM solutions is part of what you see in Q4.
Cyril Meilland: We take next question from Zoom. So Michael, I'm opening your mic.
Unknown Analyst: Can you hear me?
Cyril Meilland: Yes, we can.
Unknown Analyst: I have 3 questions, please. First, I think you indicated UniCredit channels saw about EUR 16 billion of outflows in 2025. Should we expect a similar number next year? And can you confirm whether any of the distribution -- if they are paying a penalty fee related to your distribution contract? That's number one. And number two, we saw really strong performance fees in the quarter, and yet you still showed pretty good cost discipline. I was just wondering how much of the Q4 cost base was performance fee related, i.e., incremental compensation based on that? And then finally, in terms of the share buyback, is this a buyback that will include your parent company? Or is the shares are going to be bought back from minority shareholders?
Valérie Baudson: Good. I take UniCredit, I'll let you take the two other ones, Nicolas. So UniCredit, nothing new since the medium-term plan you attended. You know our partnership present in July '27, at which point it might not be renewed. We committed on targets to you which we will deliver whatever happens with UniCredit. We are obviously fully committed to service as we always done the networks and their clients. The difference is that we give you the exact flows and assets on a quarterly basis to give you full transparency of it. So I remind them, minus EUR 16 billion with EUR 4 billion at the end -- for the last quarter. Obviously, I'm not going to speculate on what will happen in '26. What I can tell you is that UniCredit represents today EUR 86 billion of assets under management. Group-wise, among which EUR 66 billion in Italy. And that means EUR 86 billion out of EUR 2,380 billion, as you know, and EUR 86 billion is less than what we raised this year overall. I just wanted to remind the global picture on that front. Otherwise, nothing more.
Nicolas Calcoen: On the second question regarding performance fees and potentially associated costs, there are no costs directly associated to performance fees as to any kind of revenues, by the way. Just a reminder, we have a variable remuneration policy, which is to basically, I would say, allocate something between 14% and 20% of the pre-variable remuneration gross operating income to variable remuneration, but it's appreciated globally, no direct cost associated to any particular kind of revenues in particular performance fees. And the last question regarding -- yes, it was a share buyback. So Credit Agricole informed us that they will not participate in the share buyback. So it will be bought on the market.
Unknown Analyst: [indiscernible]?
Valérie Baudson: We never comment on our [indiscernible] on our partners and clients.
Cyril Meilland: Thank you. Next question from Sharath.
Sharath Ramanathan: Sharath Kumar from Deutsche Bank. I have 3 questions, 2 on India and one on digital flows. Firstly, on the India flows, I would say still not very encouraging. Do you think yesterday's tariff deal with the U.S. and Sunday's budget announcement could be the catalyst for the flow's recovery in India? So what is the outlook on the near-term flows? The second one, sticking with India. From my calculations, assuming that we get a $14 billion IPO value for the SBI on the basis of what we hear from the press, I calculate capital gains of, say, $300 million, $350 million for the 3.7% stake that you would sell. So what do you intend to do with the proceeds? Would it go into the M&A pool? Or do you -- are you thinking about a special dividend? And finally, on digital flows, how do you characterize the nature of flows? What does it do to your group margins? I imagine it would be accretive, but if you could clarify, that would be helpful.
Valérie Baudson: On the digital flow...
Sharath Ramanathan: On the digital flows -- so what sort of products are we getting at? And what sort of margins compared to the group margins?
Valérie Baudson: Okay. On the first question about [indiscernible]. Sorry, SBI flows first before speaking about the IPO. Honestly, exactly as Nicolas explained it, we saw this year that the Indian rupee was down 15%, which clearly explained a material part of the decrease in flows in euros over the period. And the slowdown was driven by institutional clients, which were, I would say, less enthusiastic in this environment. What is very positive and essential for us is the fact that on the retail side and on the rise of the individual savings plans, which is incredible source of growth for the future of this company. They have remained very dynamic. So the strong fundamentals are completely here, despite the fact that the rupee was really down this year. So I am fully and totally confident in the future and the growth outlook of SBI MF just because this is a market which is still so -- which has such a low penetration compared to the penetration of the asset management industry, we can see in the U.S., in Europe and even in a lot of other Asian countries that the growth is going to be huge. Second, regarding the transaction, of course, we -- it's much too early to give both the valuation and value for Amundi. And it's also too early to say whether it will depend on the decision of the Board when it will be done. We will discuss this topic later. And on the digital flows, what is obvious is that distributing savings digitally means using a lot of ETF, and it is the reason why Amundi is so successful in -- it's one of the reasons why Amundi is so successful in this new market, which is the digital distribution of savings. It is not the only reason. It's also because it's a very different way of working with digital distributors than with traditional banks and that we really were able to adapt to everything in terms of marketing, in terms of technology, in terms of speed of answering, et cetera, et cetera. But at least it does explain. So of course, a big bulk of this distribution is and will be done through ETF. But as I explained to you very often, the cost of production of an ETF is much, much, much lower than the cost of production of active management. And at the end of the day, selling ETFs for Amundi is very profitable and exponentially profitable.
Sharath Ramanathan: Just a follow-up. Just on the India flows on the AUM mix, do you have -- what is it between Retail and Institutional segment?
Valérie Baudson: I'm going to ask my CFO friends in the room to give you the exact figure. Can we come back to you later on the call.
Cyril Meilland: We'll definitely get back to you, Sharath. I think there was a question from Michael.
Michael Sanderson: Mike Sanderson, Barclays. Just a couple, please. First of all, the ICG product launch timings, you've obviously laid out the time line in relation to the corporate governance and the ownership piece. Are they directly linked? Does the regulatory piece have to come through before you can launch the product? Or are you happy to go separately? And then secondly, you saw some strong institutional flows through Q4 that you particularly noted. And I'm just interested, first of all, the scale of them and whether there's any sort of margin dilution, particular margin dilution when you're talking sovereign wealth and central banks? And secondly, I suppose, the pipeline in those areas, how that's looking into the next year?
Valérie Baudson: On ICG, the answer is no. There is absolutely no relationship between these regulatory approvals, which are really linked to the accounting topic that Nicolas was explaining and the partnerships. We already started the raising, and we will be delivering it whatever the regulatory and financial process. On the second point, Nicolas?
Nicolas Calcoen: So no particular dilution. We had indeed a strong activity on the last quarter. And as for any of our business, the margins we can -- we get depend very much on the type of strategies we propose and not that much on the type of clients. So...
Valérie Baudson: If I have to give you an idea, I think the institutional share of our business this year was particularly exceptional, but it will depend on our clients in 2026. So -- and once again, we are thrilled to see so many big institutional clients, especially in the retirement area, willing to work with Amundi.
Cyril Meilland: We do not seem to have any questions from the Zoom video conference. Any questions left from the room? No. Okay. Thank you. I think that's done. Thank you very much. Obviously, we're at your disposal for any follow-up. Annabelle, Thomas and myself and looking forward to our next encounters at the very last Q1 results, which will be announced on the 29th of April, if I remember well. Thank you.
Valérie Baudson: Thank you so much.
Nicolas Calcoen: Thank you.